Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q1 2020 Cabot Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Steve Delahunt, Vice President of Treasury and Investor Relations. Please go ahead, sir.
Steve Delahunt: Thank you and good afternoon. I'd like to welcome you to the Cabot Corporation Earnings Teleconference. With me today are Sean Keohane, CEO and President; and Erica McLaughlin, Senior Vice President and CFO. Last night, we released results for our first quarter of fiscal year 2020, copies of which are posted in the Investor Relations section of our website. The slide deck that accompanies this call is also available in the Investor Relations portion of our website and will be available in conjunction with the replay of the call. During this conference call, we will make forward-looking statements about our expected future operational and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statement. Additional information regarding these factors appears under the heading forward-looking statements in the press release we issued last night and in our last annual report on Form 10-K that is filed with the SEC and available on the company's website. In order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. Any non-GAAP financial measures presented should not be considered to be an alternative to financial measures required by GAAP. Any non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure in a table at the end of our earnings release issued last night and available in the Investors section of our website. I will now turn the call over to Sean Keohane, who will discuss the key highlights of the company’s performance. Erica McLaughlin will review the business segment and corporate financial details. Following this, Sean will provide closing comments and open the floor to questions. Sean?
Sean Keohane: Thank you, Steve and good afternoon ladies and gentlemen. Last evening we announced results for our fiscal first quarter of 2020. As expected, our first quarter results decreased as compared to the prior year. Our first quarter of fiscal 2019 included $10 million of EBIT from our Specialty Fluids business, which we divested in the third quarter of fiscal 2019. Also contributing to the decrease was lower EBIT in our Reinforcement Material segment as compared to the prior year, as we experienced unusual levels of year-end inventory destocking by many of our large customers that impacted volumes, particularly in Europe and the Americas. During the quarter, we finalized the negotiation of our calendar year 2020 customer agreements for the Reinforcement Material segment with a positive outcome. We achieved pricing gains and successfully implemented formula adjustments to protect against MARPOL-related feedstock differentials. In the Americas region, we realized price increases while maintaining volumes. This is particularly important given the environmental capital investments we are making in the region to provide reliable supply for our customers. In Europe, the current demand environment is softer and new carbon black supply has come online from Russian producers, which impacted the negotiations. Despite this, we achieved price increases in the region while making the decision to let go some lower margin in tire business. As a result, volumes in Europe are expected to be about 5% lower year-on-year starting in the second quarter. We believe this was the right action and as the environment strengthens, this will enable us to supply the spot market and to support the growth of our specialty carbons and compounds businesses. Results in the Performance Chemicals segment increased 14% compared to the same fiscal quarter of 2019. The segment benefited from strong sales volumes in both the performance additives and formulated solutions businesses compared to first fiscal quarter of 2019. While the business environment remains challenging, our management team continue to focus intensely on working capital efficiency, cash flow generation, and balance sheet strength. Operating cash flow of $105 million included a benefit from working capital, which helped to fund our CapEx needs along with $54 million of cash return to shareholders. These results demonstrate the strength and durability of the company's cash flow. In the first fiscal quarter, we also continued to aggressively manage costs and began to implement several actions to enable us to be more efficient and cost effective. These actions include the reorganization of Cabot's leadership structure as well as creation of our Global Business Services function. Global Business Services is a new strategic function in Cabot, that brings together many of our enabling and support services in an effort to drive standardization of our processes, gain scale, and increase efficiency by leveraging the power of digital tools. We have launched a number of priority initiatives including moving many of our North American shared service activities from the U.S. to Riga, Latvia, where we currently operate our European shared service center. These actions will allow us to streamline our organizational structure and drive expected savings of approximately $10 million this fiscal year, which we will see large take hold in the back half of 2020. And finally in the quarter we announced an agreement to acquire Shenzen Sanshun Nano, a leading producer of carbon nanotubes. We're excited about the strategic acquisition to accelerate our growth and positioning in the high-growth lithium-ion battery market. Let me give you some details on the deal. Cabot has entered into an agreement to purchase Sanshun for approximately $115 million. As the second largest producer of carbon nanotubes or CNTs globally, Sanshun has the capability to manufacture both dry powder CNTs and dispersions, and has a proven track record of commercial success in the lithium-ion battery market. The acquisition includes a newly commissioned CNT plant in China which has sufficient capacity to support growth over the next several years. Their revenue on a trailing 12 month basis is $28 million and when combined with Cabot's Energy Materials business, total sales in the battery application will be approximately $50 million. We believe this is a great addition to Cabot, because the lithium-ion battery industry is moving towards blends of conductive carbon additives in order to achieve the optimal performance cost ratio and CNTs are the fastest growing conductive carbon additives in energy storage. With this acquisition Cabot will be the only carbon additive supplier with commercially proven carbon black, CNT, carbon nanostructure and dispersion capabilities. We believe this acquisition will not only strengthen our global leadership position in carbon additives, but will allow us to deliver new innovative conductive formulations to enhance battery performance. This acquisition will be managed as part of Cabot's Global Energy Materials business within the Performance Chemicals segment. The parties are expected to close the transaction in the second quarter of fiscal 2020. Before I turn the call over to Erica, I also want to provide an update on our progress in the area of sustainability. There is no doubt that sustainability is important in our industry and it's becoming increasingly important to investors. At Cabot, we strive to be the most innovative, respected and responsible leader in our markets, delivering performance that makes a difference. We believe that a modern company must balance the needs of many stakeholders in order to sustainably increase the value of the corporation. At Cabot, we achieved this through our commitment to operating responsibly, conserving resources and developing innovative performance materials that help our customers achieve their sustainability goals. I am proud of our continued leadership and progress in this area. Over the past year, we've been recognized by numerous organizations for our outstanding environmental, social and governance, transparency and performance. Notably, we were recently named to Newsweek's list of America's Most Responsible Companies for 2020, as well as recognized in Corporate Responsibility Magazine’s 100 Best Corporate Citizens list for 2019. I'm also pleased that we received the gold rating from EcoVadis for our sustainability program for the fourth year in a row. These accomplishments demonstrate our deep commitment to transparency and continuous improvement. I'll now turn the call over to Erica to discuss the business results.
Erica McLaughlin: Thanks, Sean. I will discuss the segment results beginning with Reinforcement Materials. EBIT in Reinforcement Materials for the first quarter of fiscal 2020 decreased by $15 million as compared to the first quarter of fiscal 2019. The decline in profitability was driven by lower volumes. Globally, volumes declined 3% in the first quarter as compared to the same period of last year, primarily due to a 9% decrease in EMEA and a 6% decrease in the Americas, as customers aggressively managed year-end inventory. First quarter volumes were down 9% from our fourth fiscal quarter of 2019 and represented the lowest volume quarter in three years. In addition, margins were negatively impacted by lower energy center revenue as production was reduced, and there were slower turns of inventory as a result of lower sales volume. As we have noted throughout calendar year 2019, the pricing and mixed benefits that we achieved from our 2019 customer agreements were offset by the impact of lower margins from a more competitive pricing environment in Asia. Looking ahead to the second quarter, we expect results in Reinforcement Materials to improve as compared to the first quarter, supported by pricing gains as customers transition to calendar year 2020 agreement and as volumes returned to more normalized levels. January volumes were strong and demonstrate that the customer destocking was short-term in nature at the end of the calendar year. In addition, we feel good that the pricing mechanisms in the customer agreements should mitigate the impact from MARPOL related feed stack differentials. We expect these improvements to be partially offset by lower European volumes that Sean discussed earlier and higher cost related to our North American environmental compliance investments. Now turning to Performance Chemicals, EBIT increased by $5 million year-over-year, due to higher volumes across the segment, partially offset by a less favorable product mix in specialty carbons and lower pricing in our metal oxides product line. The lower pricing in metal oxides is primarily due to a slowdown in the key transportation and industrial end markets in Europe and China and increased competitive intensity. In the quarter, volumes increased 13% year-over-year in performance additives and 20% in formulated solutions. Our performance additives volumes benefited in the current quarter from a non-repeat of the destocking we saw in the first quarter of fiscal 2019, along with additional commercial wins in specialty carbons and higher sales from the new China fumed silica plant. Formulated Solutions volumes increases were driven by our specialty compounds product line, as destocking that we experienced last year did not repeat and we realize that benefit from a masterbatch acquisition in Southeast Asia. Looking ahead to the second quarter, we expect sequential volume increases in both our specialty carbons and specialty compounds product lines due to a normal seasonal increase. While we are pleased with the positive outcome to date for specialty carbons pricing to recover rising MARPOL-related feedstock costs, margins are expected to be negatively impacted by continued competitive fumed silica pricing in China and Europe. Until underlying automotive demand improves, we expect specialty carbons and specialty compounds product mix to remain unchanged and we also anticipate the volume gains associated with commercial wins from the first quarter in specialty carbons to continue. Now moving to Purification Solutions. In the first quarter of fiscal 2020, EBIT increased by $1 million compared to the first quarter of fiscal 2019, this was driven by higher margins from improved pricing and product mix in our specialty application. The business also reduced fixed costs driven by savings from the previously announced transformation plan. These benefits were somewhat offset as the business experienced lower volumes in mercury removal application. Looking ahead to the second quarter, we expect to see seasonal sequential improvement in the specialty volumes and margin improvement from price increase initiatives. I will now turn to corporate items. We ended the quarter with a cash balance of $173 million and our liquidity position remains strong at over $1 billion. During the first quarter of fiscal 2020, cash flows from operating activities were a source of $105 million, which included a decrease in net working capital of $50 million, largely due to lower receivables. Total capital expenditures for the first quarter of fiscal 2020 were $68 million and we're now expecting capital expenditures to be approximately $225 million for the full year. We have reduced this forecast from $250 million, given current business conditions. As previously discussed, we returned $54 million to shareholders through $20 million in dividends and $34 million of share repurchases. Our operating tax rate was 26% for the quarter and we anticipate the fiscal year rate will be between 26% and 27%. The increase in the operating rate from our guidance last quarter is largely due to the impacts of Switzerland tax reform and our projected geographic mix of earnings. I will now turn the call back over to Sean
Sean Keohane: Thanks, Erica. This has definitely been a challenging stretch for our industry as the U.S.-China trade friction and a slowing macro economy negatively impacted the global auto industry. However, as we think about the auto industry, it is important to remember the long-term fundamentals are sound and the downward cycles have historically recovered after a relatively short period of time. Historical vehicle production data suggest that a typical down cycle last somewhere between four and eight quarters. Current automotive production has shown year-over-year declines for the last six quarters. When auto production does turn positive, we are well positioned and ready for this. We have available capacity across our network of plants from recently completed debottleneck projects and we've continued our strategic growth investments in key businesses and regions to serve the long-term demand of our customers. We've been able to do this while generating strong cash flow, returning a significant amount of cash to shareholders and maintaining a flexible balance sheet over the last two years. In 2018 and 2019, we generated cumulative $661 million in operating cash flow, repurchased $315 million in shares and paid $160 million in dividends, while maintaining our investment grade credit rating. Now moving to the segments. For Reinforcement Materials, we see an environment with reasonable supply demand balance in most regions. We've completed negotiations and are satisfied with the outcome of the customer agreements for calendar year 2020 with pricing improvements driving higher margins. With the year-end destocking complete and the benefit from the 2020 customer agreements in place, we expect Q2 EBIT results to return to Q2 2019 levels and continue to improve as we move through the year, as volumes demonstrate seasonal improvements in the third fiscal quarter and cost cutting measures take hold in the second half of the fiscal year. In Performance Chemicals, we anticipate similar sequential results in the second fiscal quarter as compared to the first quarter and then strengthening in the back half of the year, as volumes are expected to remain solid through 2020 in specialty carbons and compounds. We expect the fumed silica market to remain challenging in the near-term as the key automotive and industrial end market demand remains soft, leading to higher competitive intensity. However, the long-term underlying fundamentals of this business remain attractive as feedstock access and strategic integration will continue to determine growth and profit levels. On this front, we are extremely well positioned with our silicone fence-line partners, Dow Silicones, ChemChina and HYC. In Purification Solutions, we expect to see sequential EBIT improvement from seasonally higher volumes and lower fixed costs driven by savings from the transformation plan. Full year EBIT improvement is expected to come from higher unit margins as pricing and mix initiatives and specialty applications take hold. Based on these factors, we expect adjusted EPS to be in the $3.60 to $3.90 band of our previously communicated range. The midpoint of this range reflects the growth rate of 4% as compared to fiscal year 2019 results, excluding the Specialty Fluids segment. At this point, the impact of the coronavirus is difficult to predict. Our outlook does not include an impact to our business from this, but we continue to watch this closely and we'll provide an update should the situation impact our outlook. On the cash side, we expect strong cash flow generation and to continue to return cash to shareholders consistent with our long-term capital allocation strategy. As we managed through this challenging business environment, we remain focused on the long-term while taking prudent counter measures to deal with the dynamic environment. Thank you very much for joining us today and I will now turn the call back over for our question-and-answer session.
Operator: Thank you. [Operator Instructions] Our first question comes from Josh Spector with UBS.
Josh Spector: Yes. Hey guys. Thanks for taking my question. So I understand you're not quantifying the impact of coronavirus. Just curious at a high level, if you could talk about some of the perhaps locations of supply and demand within the region. So, if there was a longer-term impact from customers shutting down, would you see production also impacted? So perhaps there'd still be a balanced supply demand or would things be lopsided one way or another?
Sean Keohane: Sure. Thanks Josh. Let me try to provide a few comments around the coronavirus. So I think with respect to that, we're obviously concerned first and foremost about the safety and welfare of our employees in China and around the world and we've put the appropriate precautions in place. Now, the situation as I think everyone can appreciate is very dynamic and I think the impact is difficult to predict. So as a result, our outlook does not include any impact from this, but we continue to watch it closely and we'll provide an update as things develop here. I guess to your specific question, maybe a few important facts that will help. So in terms of Cabot Corp. So we don't have any facilities in Wuhan directly. And we're following the government policies as required, which has extended the Chinese New Year through February 9, so that's about a two week extension, you've probably read that that's been mandated by the Chinese government. So this has impacted our office locations. Now the majority of our production units are running and have been through the lunar New Year period. This is pretty typical for us, because we're a continuous process industry. And so we typically do run-through the Chinese New Year and so what a majority of our units have been running through this period and we – so we continue to produce. I think the challenge in what we're watching here is inbound and outbound logistics because those are becoming more challenging, given the actions by the government to contain the virus, so we're watching that carefully. But it remains overall a pretty dynamic situation. So we'll have to see how things unfold here in the coming weeks. But hopefully that gives you a little bit of the sense for the Cabot's specifics at this point.
Josh Spector: Yes, that's helpful. And maybe just if I could kind of around the same thing is, what about your competitors? So I guess some local China production, would you say they would take the same approach of continuing to run? I guess where I'm getting at is that, is there a risk that you build up some supply in the region from product either not being able to move or customers taking extended downtime or would there be a different way to think about it?
Sean Keohane: Well, I think most customers, most competitors would probably take a similar posture through Chinese New Year, some to greater degrees and others, I suppose. But most would continue to operate, because what you typically see coming out of Chinese New Year is a jump in demand and so that needs to get satisfied. So our expectation here is that, if as soon as demand returns to normal, then the production gets swallowed up or gets absorbed basically. So we don't – we wouldn't see normally any sort of an imbalance. And – but I think a lot depends on how quickly the tire producers get back into full production. So I think that's the thing that we'll have to watch here.
Josh Spector: All right, thank you.
Operator: Thank you. Our next question comes from David Begleiter with Deutsche Bank.
David Begleiter: Thank you. Good afternoon.
Sean Keohane: Hi, Dave.
David Begleiter: Sean, looking at the January volumes, was there a restocking in January, do you think? Or just a more normalized demand off of the destocking in December?
Sean Keohane: Yes. Dave, as we commented in the prepared remarks, we definitely saw a much more aggressive and I would say unusual pull back at the end of the calendar 2019. We had some customers comment to us that was their most aggressive inventory management ever or in recent times. So it was pretty pronounced and more than the usual seasonal slowdown. Now what we saw in January was quite strong volumes and so for sure there is some kind of restock there as they corrected very aggressively for their year end and a lot of these folks are on calendar fiscal year end. So we definitely did see some of that return in January in addition to the normal seasonal bump where we would expect coming off of the holiday period.
David Begleiter: Pretty good. And just in terms of Europe and the Russian capacity, is this a longer-term threat? i.e., could you see additional volume get back by you guys in future years to deal with the Russian lower cost or lower price material?
Sean Keohane: Yes. So Russian producers have been operating and supplying into Europe, principally for quite some time now. And so in the grand scheme, the total capacity in relation to needs in EMEA is not overwhelming by any means. And as a result, we've been able to generate quite strong profitability in Europe. I think the real challenge here is that they operate under some, I would say, different rules of the game. And I think it's important that we continue to educate our customers who care about sustainability that while Europe is under CO2 trading schemes and certain levels of emission controls, the Russian producers or not. And so in effect, they're exporting pollution into Europe, and it's important that we continue to educate our customers who care about sustainability to reflect this properly. So it's something it's not new. We've been operating in this dynamic for quite some time. My entire time with the company now, which is starting to push 20 years, there have been Russian producers that have had impact in Europe. So it's something we manage, but I think there is quite a contradiction between what our customers need in terms of sustainability, what we do in terms of sustainability of the company, and the rules that they operate under. And that's something we have to continue to make clear and advocate for the right thing to do here.
David Begleiter: Thank you. Very helpful.
Operator: Thank you. Our next question comes from Jim Sheehan with SunTrust.
Jim Sheehan: Yes, thank you. Regarding your Performance Additives volume growth, pretty strong 13% number this quarter, was that growth evenly spread across the world? Or was it more pronounced in China?
Sean Keohane: Yes, hey, Jim. So yes, a pretty strong volume picture in Performance Additives. I think a couple of things are worth remembering here, the same quarter this time last year, we saw some fairly pronounced destocking, in particular, across specialty carbons and specialty compounds. And so the nonrepeat of that could certainly contributed to the strong numbers, in terms of the distribution of that, I would say it was fairly balanced around the world, and we definitely saw destocking all around the world this quarter last year and saw improvement all around the world. So I would say fairly balanced, Jim.
Jim Sheehan: Would you say more of your growth came from the specialty carbons business or from the new fumed silica capacity?
Sean Keohane: So we saw volume growth across all of the three major product lines here, specialty carbons, specialty compounds as well as fumed silica. So I think there was definitely contribution from all three here in the period.
Jim Sheehan: Thank you. And could you comment on where you stand on your considering of strategic options for Purification Solutions? And if you're maintaining that business for the long-term, what is your strategy for taking larger share of the automotive carbons market?
Sean Keohane: Yes. So Jim, nothing has changed here in terms of our strategic portfolio choices. So with respect to the Purification Solutions business, it is one that we believe is best in the hands of a more strategic owner that is not us. And so nothing has changed in terms of that posture. And as we've commented in the past, our primary focus here has been around improving the performance of that business and – so that we're in a better position in the future to execute a transaction. And so I think the strategic direction here hasn't changed at all. I think with respect to the automotive, the automotive application, we have been working in this one for quite some time and having some success. I would say it is a little more long wavelength in nature in terms of getting specified ends. You might recall, we're a number two player in the world in this space, but making progress getting qualified into new applications, and that continues to be an important strategic focus for the business. But the time line or the onset period is a little longer in terms of the nature of it.
Jim Sheehan: Thank you.
Operator: Thank you. Our next question comes from Mike Leithead with Barclays.
Mike Leithead: Thanks. Good afternoon, Sean.
Sean Keohane: Hi, Mike.
Mike Leithead: I guess, first to start with Reinforcement Materials. I think your commentary was you expect flat EBIT in 2Q year-over-year. So call it about $15 million better sequentially. Can you just help quantify how much of that is price versus volume recovery?
Sean Keohane: Yes. So the – if I look at the results in the quarter, Jim, I mean Mike, sorry, the results year-over-year were down around $15 million, and they were all volume related. And so we definitely saw weaker volumes because of the aggressive activity in terms of customers managing inventories and then, what I would call, some volume-related impacts in the quarter in terms of our energy centers and the flow-through of inventory. So those three results might drove about the $15 million decline, and they were sort of roughly equal in terms of value. So, as we roll forward here and we see volumes in Q2 return to a more normalized level, then we would not expect that these things repeat.
Mike Leithead: I guess what I'm trying to get at. Just I mean the pricing benefit you kind of know at this point versus volume and the associated costs from that, can be somewhat variable. So, I guess what I'm trying to get confidence in is kind of this quarter as we think from the seasonal low in 1Q, just kind of how much is kind of locked in at this point versus what we still kind of maybe you're hoping for some more macro pickup in 2Q?
Sean Keohane: Yes. So, I think the, the customer negotiations. So, I think our, there is sort of, I would call them locked [ph] in at this point. So, we know what those new prices are and have been operating and invoicing and shipping under those. So, the new arrangements around the formulas and protections, the MARPOL all that stuff is in, and we are operating – we're operating to it and we normally see seasonally higher Q2 than Q1. So, I think those are fairly, fairly known at this point. I think the wildcard here is, of course, Q2, we always have Chinese New Year, which is nothing new. But the question will be what are impacts, how does – how is the coronavirus play out. And as I commented earlier, it's just too early and uncertain to comment on that. But if I just put that aside for a minute and look at the sort of the main drivers here. I think there, they are fairly known at this point, if I put that one aside.
Mike Leithead: And if I could just squeeze in one quickly on the fumed metal oxide business. My understanding is the top three producers including you guys make up, call it 70% of the market, which typically means a fairly constructive rational market. So, when you talk about competitive pricing, is it really due to that other 30% or I guess any incremental color you can give on what's going on in that market might be helpful.
Sean Keohane: Yes, sure. So, let me just try to describe a little bit, the demand side here and then what we are seeing in terms of the current environment. So, the demand environment is definitely been softer, particularly in Europe and China. The key end markets here, our automotive and construction. Those are two big end markets and so if we look at this business in calendar year 2019. We estimate that the market for fumed silica contracted versus 2018. So, we hadn't seen that in quite some – quite some time. So, this weaker demand definitely resulted in some more competitive intensity overall. But again, it was more is more acute in Europe and China, given the negative environment in those regions. And at the same time, some supply has come on stream recently, I think thereby pressuring near-term pricing. I think these factors definitely present a near-term challenge for us, but the fundamentals of the business remain attractive. You commented on sort of industry structure. But if you – if you look at this business, historically it's been one that has had very strong profitability in the sort of 30% EBITDA range and demand has steadily grown at something above GDP kind of 1.5 times GDP. And this is because silicones, a major application market for fumed silica has really strong performance characteristics. And then finally feedstock access and strategic integration are critical here, so there isn't sort of a market for feedstock like there is in carbon black where you can buy in the Gulf Coast and have access to feedstock. The market for feedstock in fumed silica is quite strategic and requires strategic integration with the silicones or polysilicon player. So, given those factors, we are extremely well positioned here with our fence-line partners Dow Silicones, ChemChina and HYC. And so, the industry has historically been I think very well balanced in terms of feedstock supply and silica demand, which has led to limited new entrant risk here. And again, the feedstock is a byproduct of either the silicones production process or the PCS production process. So, these strategic fence line relationships are essential. But the strategic that capacity adds can be a little lumpy given the economic scale of investment, but demand growth has historically, soaked this up and relatively in a relatively short period of time. So, I think the combination of some near-term softness in demand and some strategic capacity coming online has created a more, a higher level of competitive intensity. I think China specifically is a slightly different industry structure while some of the major global players are present there, not all are in there are some local players. So that kind of 30% that you talked about is more concentrated in China. And again, the weak demand environment in China in auto. For example, that is providing some pressure in terms of the overall sort of pricing environment in the business, but in the long-term, we see the balance of feedstock and demand for silica to be in a good balance, as it has been historically.
Mike Leithead: Great. Thank you.
Operator: Thank you. Our next question comes from Kevin Hocevar with Northcoast Research.
Kevin Hocevar: Hey, good afternoon, everybody.
Sean Keohane: Hi, Kevin.
Kevin Hocevar: It sounded like the specialty carbons was doing a pretty good job in passing along pricing. So, I’m wondering if you could give some color on what you’re seeing out of input costs, especially with IMO 2020 effect, I think there are certain product lines that have to use low-sulfur fuel oil. So, can you talk about what you’re seeing on the input cost side there on the raw material side. And I know some of the volumes this quarter were good, but the end markets overall, have generally been challenging in automotive and some of those key higher end markets that might be using that low-sulfur fuel oil. So, could you describe what you’re seeing on the input cost side, how successful you are on the pricing side and we expect to be able to continue to largely offset any inflation with pricing, you expect that to continue to be neutral or stable?
Sean Keohane: Yes, yes. Yes. So, the 1% or 0.5% of the sort of the lower sulfur indices are definitely climbing and have been climbing as we move toward the MARPOL regulations here in the beginning of 2020. And so that that has – was pretty sharp in the back part of the year as traders and people were sort of speculating on what was going to happen. So, in fact, the 1% has moved up quite a bit. Now, the team and specialty carbons has been working hard here to manage this and get prices up and have been largely successful here. So, I think that’s, that’s a positive. It remains an important strategic initiative for the business to manage this carefully, but between our announced price increases in what we’ve gotten plus as we have gone through certain larger customer negotiations. While we don’t have the same level of contract business that the reinforcement segment does. There is some in this business, we have been really focused on making sure we get some level of sort of mitigation protection in there in terms of the MARPOL regulations and the impact of that on the low-sulfur feedstock. So, I think on balance, Kevin, where we’re doing pretty well and getting the recovery. And the team’s done a good job here are helping customers understand why this is important. Now, the mix impact on this business, which has been pretty pronounced over the last kind of year to year and a half is principally driven by weakness in auto and so, a lot of the higher-end applications, those continue to I think suffer from weak fundamentals in auto, but hopefully that will begin to turn year to my earlier comments. But overall, I feel like we are handling this reasonably well in specialty carbons.
Kevin Hocevar: Great. In terms of the contract for Reinforcement Materials. Could you give a little color on the adjusters that you put in, I think you have delivered cost adjustments are I think every manufacturer Cabot heard it a little different. What’s the – were you able to get those implement those all over the globe. Was it just the U.S.? And in terms of how they’re going to function. I know that there has been some – I guess I’m trying to understand, there has been some differential headwinds last year, a couple of years here. Are these adjusters being reversing out any of those differentials, meaning that there could be a tailwinds from these being implemented in the contract or they mainly just being implemented and saying, okay, 2019 was the base for what the differentials are, they’re not going to get any better or worse from here as this adjustment will eliminate that, I’m just trying to understand those things.
Sean Keohane: Yes. Sure, sure. So, let me, let me provide some sort of Cabot specific commentary here, Kevin. So, you’ll recall, as we were heading into 2019, we’re looking forward, we could see the IMO of the MARPOL regulations coming our way. We took some proactive steps to get DCA’s and similar mechanisms in place. And so as a result, as we look at our 2019 performance, there was not a material impact from that on our business. So, we managed it quite well and we are I think pretty aggressive and out in front seeing what was coming here. Now as the year progressed, and as we got closer and closer to the implementation of the new regulations, you started to see the low-sulfur indices climbing and climbing pretty sharply. And as we're now into 2020, you definitely see that the differentials have moved again. So our mechanisms that we put in place for the new 2020 agreements, we feel good about how they will mitigate that, but we had already covered a lot of ground and done a lot of good work in 2019 to limit the impacts there. So that's perhaps more of a Cabot-specific story, but that's how it has played out for us. And then, these mechanisms there are various forms. And so each one is a little bit customer-specific in certain ways, but the concept of either delivered cost adjustment or move to a more appropriate index, now the MARPOL regulation is in and we see what the low-sulfur indices are doing. We have a range of these it kind of depends by customer, but we have implemented around the world on these on our contracted business and we feel good about where this has come out.
Kevin Hocevar: Okay. And then last one for me, on the – just wondering if you could talk on China profitability there, I always kind of equate your minority interest line with China profitability is because most of your joint ventures are in China. And that was $5 million this quarter, which was the lowest it's been in a couple of years. So wondering if you have some comments on, how China's doing, I know there's more in there than just to add, so maybe there's some other explanations in there, but wondering, what you're seeing out of China at this point in terms of business conditions there and profitability there? And as you look out, I mean, I know that they use a different feedstock, coal-tar based feedstock and I think I've heard that, that hasn't seen the same level of deflation, let’s say, high-sulfur fuel oil feedstocks, which might make China product less competitive on the world stage, which might keep China’s product within China. So just wondering if that's something that could be an impact here as you think of like supply and demand in that region, is that a challenge or is that not really something you're seeing or expecting?
Sean Keohane: Yes. So I guess a couple of things, Kevin. First it is important while the majority of our joint ventures are in China, we do have a fairly significant joint venture in the Czech Republic, would be in those minority interest numbers that you're talking about, but your point around the majority of our JVs being in China that is the case. So a couple of things, I think China in terms of the macro environment is definitely more challenging. I mean, we've seen the headline numbers in terms of GDP slowing and we know that overall automotive production has been really weak and they had 16 straight months of year-over-year declines. And if you look at in total for 2019, I think the industry declined somewhere close to 10% if my memory is correct here. So it was a pretty challenging environment in terms of overall auto production. And then, the impact of the trade friction, in particular on – sort of industrial sectors, I think is something that we've been battling here. So the environment hasn't been great. That being said we are still quite profitable in China, even in this environment. So I think that's an important point and one that I think speaks to our business, our assets and we know based on publicly available information around the carbon black industry that's not really the case for the industry. So we really do feel like we have strong assets and business team there. But the environment, no doubt is weak. Now, we're starting to see a couple of positive signals here in auto production in both November and December, those turned positive, now they were off-weak comps, but they turned positive. So that is encouraging and we'll have to see how that develops here. And then secondly, the trade dispute, at least with the Phase 1 deal in place, as that begin to remove some of the uncertain sentiment that's been kind of clouding things. So these would be positive near-term developments, but I think we'll have to see and of course the whole thing is a bit confounded by the uncertainty around the impact of coronavirus. So it's a dynamic situation here, but we continue to, I think, manage it well and given the long-term, in terms of how much of the world tires China produces, the feedstock situation in terms of coaltar being pretty much in balance with carbon black production needs, the continued environmental ratcheting in China over time, we think that and having the largest car park in the world, these things that are right, long-term fundamentals and we don't feel that those have changed. So we've got a saddle in the near term here.
Kevin Hocevar: Okay, great. Thank you very much.
Operator: Thank you. Our next question comes from Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Thanks very much.
Sean Keohane: Hi.
Jeff Zekauskas: Hi, was there something unusual that drove up your SG&A costs in that – on an adjusted basis? I think your SG&A costs were down $2 million, maybe $66 million to $64, but your revenues were down $95 million.
Erica McLaughlin: Sure. Jeff, this is Erica. So if you're looking at the unadjusted figures, in there we had a good amount of restructuring charges that’s related to what Sean talked about. Primarily in terms of the Global Business Services move from North America to Europe. So in the unadjusted figure you have charges there that are offsetting some of the savings programs you would otherwise see.
Jeff Zekauskas: So, when you adjust that, what's the year-over-year change?
Erica McLaughlin: So the restructuring charges that you would see would be $8 million in the quarter.
Jeff Zekauskas: Okay. Thank you for that. In the your CapEx – I think your CapEx last year was supposed to be $250 million to $300 million and maybe you came in at about $225 million. Does that mean you have to do extra spending for this year or what's your CapEx range? And what are your big projects this year?
Sean Keohane: Yes, so we – when we kicked off the year, Jeff, we had articulated a range of between $250 million and $275 million. And as the year – as we progressed here in the current environment we're estimating that will be around $225 million for this year. So we're trying to take – given the current environment, we've taken a hard look in terms of prioritization and making the right the right choices here in terms of the environment. And then, we continue to scrutinize every project in terms of capital efficiency and make sure that even if it's a project, we make – if did it make sense to do that, we're squeezing it down and being as capital efficient as possible. So that's our current expectation for this year. Now of that number, you'll see around $150 million of it is in the sort of sustaining and compliance space as we continue to have environmental investment in the U.S. occurring. And then there's a normal amount of what's called sustaining or maintenance capital. So then the balance of it say, call it $75 million-ish would be growth related capital. And this would be projects related to the Carrollton fumed-silica plant. The conversion of the Pizhou carbon black acquisition we did in China, where we're converting that to make specialty carbons to have growth capacity over the long-term. Some of these projects would be in that $75 million-ish of growth numbers. So that's kind of where we stand in terms of the total envelope, how we're thinking about it in terms of the current environment and what the mix is between sort of sustaining compliance and growth.
Jeff Zekauskas: Okay. And then lastly in your performance business, you've always described in very positive terms, these over-the-fence relationships you have with your fumed-silica customers., is it the case that when silicones prices go down that your profitability falls as well or is adjusted downward because of the profitability of your customers or your contracts independent of overall silicones pricing?
Sean Keohane: Yes. So the feeds, if we look at the silicones part of it, Jeff. The feedstock that we have to produce fumed-silica is under long-term I would call it sort of fixed price contracts. So that doesn't move with silicones or siloxane prices, whether they're going up or down. So either way they don't, so the input costs are not moving and are known. And then the silica that we produce, some of it goes back to our fence-line-customer and they incorporate it into their field compounds. And that is on a fixed or a known price as well, here its independent of whether they're siloxane or the silicone prices are going up or down, so that is a very well known. But then there's a portion of the fumed-silica that goes into what's called the niche market. So it doesn't go to the over the fence-customers, it goes out into the open market for non-silicones applications principally. And those markets are more driven by the current environment and how demand looks and then how competitive intensity plays out. So that's sort of the makeup of these arrangements.
Jeff Zekauskas: So year-over-year in Performance Chemicals operating income, you were up $5 million. Did both businesses grow, that is the – or maybe you see it through a specialty carbon black, the masterbatches and the fumed metal oxides, which one's curling operating profits and which one's shrank? How did you get the $5 million more?
Sean Keohane: Yes. So we don't comment on specific profitability of each, but definitely, yes, you can see that the carbons and compounds businesses saw pretty strong volume growth and as result profitability improved in those over the prior period and lesser in fumed-silica that would be kind of how I would say it.
Jeff Zekauskas: Okay. Good. Thank you so much.
Operator: Thank you. Our next question comes from Laurence Alexander with Jefferies.
Adam Bubes: Hi, this is Adam Bubes on for Laurence Alexander.
Sean Keohane: Hi.
Adam Bubes: I was wondering how we should CEC in battery materials ramp? Will it be like lumpy path or more linear?
Sean Keohane: I'm sorry, could you repeat that?
Adam Bubes: How should elastomer composite in the battery materials ramp? Will it be a lumpy path or more linear?
Sean Keohane: I see. Okay, so Cabot’s, elastomer composites and energy material, so both of these are important strategic growth investments that we've been making over the last several years. And we're very bullish on both of them. So in terms of CEC, this is a unique elastomer material that drives much better tire wear performance. And we've commercialized this with a major tire producer already and are in the process of further commercialization in the industry. That is something that generally takes some time because the qualification period is somewhat long. And then it will be a little bit lumpy because it will be customer-by-customer, application-by-application. So I think it's something where we expect to start to see material contribution from it over the next five years, but in the short term here, we're in more of an investment cycle as we work through customer qualifications and the technical development associated with that. So those are a couple of points that just maybe help you understand the shape of and the nature of this. And then on Energy Materials, we have a business today that is in the $20 million to $30 million of sales range. And now with the Sanshun acquisition, upon successful closing it’s going to put the combined revenue in the range of $50 million. This one will move a little more linearly, because we were already building some significant revenue here and while there is a qualification customer-by-customer, sort of battery application by battery application, qualification process here, it's more diversified across a range of customers and applications and so I think it'll take on a little more linear flow here. So if you look at the market for conductive carbon additives in total, this is a market that for lithium-ion batteries, today is between $350 million and $400 million of market value for conductive carbon additives and we expect this is going to grow in the 20% range over the next five years. So that sort of pushes the total market value up somewhere close to $1 billion. And, and again, of the three $350 million to $400 million market today, when you combine our business and Sanshun, we'd be in the range of $50 million. So that kind of gives you a sense for what that looks like. And over time, as we're successful here and grow our position, we'd expect the margin structure in this business to look something similar to Performance Chemical segment, so that's kind of a way to think about that one.
Adam Bubes: Okay. Got it. Thank you very much.
Operator: Thank you. And our final question will come from Chris Kapsch with Loop Capital Markets.
Chris Kapsch: Thank you. I missed some of the initial formal comments. So I apologize, but on the destocking dynamic that you experienced in Reinforcement Materials, did you – can you characterize that by geography, which regions did you feel that more pronounced versus others? And then conversely, the volume snapped back a little bit in January, was that similar to what you experienced with destock or was that more pronounced in certain regions versus others?
Sean Keohane: Sure. Hey, Chris. So yes, the destock that we saw was principally in Americas and Europe. And so, you saw in the first quarter year-over-year changes in Europe were down 9% and the Americas were down 6%. So it was very pronounced in those markets and the major customers that operate in those markets. And as we saw volumes improve in January and some of that snapback, it was spread similarly in terms of sort of region and customer.
Chris Kapsch: Okay. And then just on the MARPOL, the IMO 2020 and it delivered – the DTAs you've expressed confidence that you have those in place now to cover, I guess, differential blowout associated with IMO 2020. And since I guess lower-sulfur feedstock have become more expensive. And since you're comfortable that you're covering that, presumably that's higher raw material cost your customers. So just wondering, since they're seeing effectively price increases there, did that undermine your ability to get base price increases in these annual contracts that you otherwise would have hoped to get, if not for MARPOL 2020?
Sean Keohane: Yes. So well I mean in terms of the feedstock cost moving up, because of the rising differentials and the issues related to MARPOL, there's no doubt that resulted in higher pricing component for our customers here. I think if you take a look at the overall negotiations here, I think we are pleased with the outcome, the market was a bit softer than last year, but again overall we achieved price increases in Americas, in Europe and these are the primary contracted regions. So our, our overall pricing efforts here had a combination of base pricing actions as well as this strategic objective to include pricing adjustments for MARPOL and differential risks here that needed to be mitigated. So, if you look at all of that, if you still get sort of straight pricing or invoice impacts to customers, the pricing and mix, top line benefits were approximately about $15 million per quarter. Now we needed some of that pricing to cover the forecasted feedstock differentials from the transition to the new MARPOL regulations. And then we did shed some lower-end European volume. So the net of this is somewhere in the order of maybe $7 million per quarter margin benefit from these agreements. That's maybe a way to think about it. So overall, quite a bit of a topline pricing movement, some of it, base price, some of it pricing that customers will see that needs to be – they had to cover the rising differentials.
Chris Kapsch: That's helpful. Thank you. And then finally, just in the Performance Chemical segment, you alluded to, I think you referred to in specialty carbons market share gains. And so, is that part of the market, is the part of the carbon black market is generally characterized as, I guess a more consolidated in competitive landscape, fewer competitors. And so I haven't sort of, hadn't really thought about that as much in terms of the competitive intensity, I’d say in the Reinforcement Material. So just wondering if you could provide any color on the share gain there, was it just a function of expanding the addressable market? Was it specifically taking share on performance of your specialty compounds or specialty carbon black versus competitors, anything that would be helpful thing? Thanks.
Sean Keohane: Yes, so a real mix here Chris, so while there are a number of players that participate across the specialty carbon space and specialty carbon space is made up of a lot of different applications. And a lot of those applications are served by, I would say kind of common set of assets, there's opportunity to move between rubber blacks, tire, industrial products and specialty carbons. And we always look to optimize across that. And so as we were working through commercial actions we have emphasized some of that capacity towards more specialty carbon. So we will try to look at it with a one Cabot view and the result of that is we have picked up some targeted share in specialty carbons, but it's pretty spread both geographically and across the range of applications and customers.
Chris Kapsch: Okay. Thank you.
Operator: Thank you. I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Mr. Sean Keohane for any closing remarks.
Sean Keohane: Great. Thank you very much for joining us today and look forward to speaking with you again in next quarter. Have a good day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.